Operator: Welcome to Easterly Government Properties Third Quarter 2025 Earnings Conference Call. At this time, participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session between the company's research analyst and Easterly's management team. To ask a question during the session, analysts will need to press 11 on their telephone. They will then hear an automated message advising their hand is raised. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Allison Marino, Executive Vice President and Chief Financial Officer. Please go ahead.
Allison E. Marino: Good morning. Before the call begins, please note that certain statements made during this conference call may include statements that are not historical facts and are considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although the company believes that its expectations as reflected in any forward-looking statements are reasonable, it can give no assurance that these expectations will be attained or achieved. Furthermore, actual results may differ materially from those described in the forward-looking statements and will be affected by a variety of risks and factors that are beyond the company's control, including without limitation those contained in the company's most recent Form 10-Ks filed with the SEC and in its other SEC filings. The company assumes no obligation to update publicly any forward-looking statements. Additionally, on this conference call, the company may refer to certain non-GAAP financial measures such as funds from operations, core funds from operations, and cash available for distribution. You can find a tabular reconciliation of these non-GAAP financial measures to the most comparable current GAAP numbers in the company's earnings release and separate supplemental information package on the Investor Relations page of the company's website at ir.easterlyreit.com. I would now like to turn the conference call over to Darrell Crate, President and CEO of Easterly Government Properties.
Darrell William Crate: Thanks, Allison, and good morning, everyone. As we report our third quarter results, it comes at a time when the federal government remains partially closed. For most companies, that kind of disruption would be concerning. For Easterly, history offers important perspective. It is important to understand that a shutdown is part of the Kabuki Theater related to budget negotiations. Our investors should be comfortable that the government will not default on our leases because that would be tantamount to defaulting on a US treasury obligation. We are highly confident they will find a way to avoid that as they did with each of the previous 21 shutdowns. As we enter the final stretch of 2025, I am pleased to share that Easterly continues to execute against the growth strategy our leadership team embarked upon last year. A disciplined plan centered on three long-term priorities. One, is growing core FFO by 2% to 3% annually. The second is increasing same-store performance through thoughtful diversification into state and local and high-credit government adjacent tenancy. And third, continued execution on value-creating development opportunities where we can create portfolio-enhancing improvements to weighted average lease terms and building age. This strategy is designed to balance growth and durability and to build a portfolio that performs consistently regardless of the economic or policy backdrop. The third quarter is another example of that approach in action. At the core of our business is a portfolio of essential facilities where government work truly happens. Immigration facilities, courthouses, public health laboratories, law enforcement offices, and secure administrative buildings. These are not speculative assets. They are long-leased, purpose-built, and vital to the functioning of our nation. Our tenants' missions endure across administrations and cycles. That endurance is the foundation of Easterly's ability to deliver consistent compounding growth over time. As demand for secure, modernized government facilities continues to expand with population growth at federal, state, and municipal levels, we remain uniquely positioned to serve that need. Now turning to the specifics of the quarter, we delivered strong operating performance, maintained high portfolio occupancy, strengthened relationships across agencies, and refined our balance sheet with a prudent and disciplined approach to capital deployment. We are pleased to deliver 3% core FFO growth from 2024 to the midpoint of our guidance range for 2025. That was driven by growth from acquisitions, strong renewal execution, and prudent portfolio management. Our portfolio occupancy remains near historical highs at 97% and a weighted average lease term of approximately ten years, underscoring the durability of our tenancy and the strength of our mission-critical focus. Our most recent acquisition of the York Space Systems headquarters in Colorado positions us nicely towards our stated goal of 15% government adjacent exposure and reflects the demand for specialized facilities supporting the US defense and space partners. Our development pipeline remains very active, with major projects progressing nicely. We continue to identify accretive opportunities that meet our standards for credit quality, mission alignment, and durable returns. The acquisition team has built one of the most robust pipelines in our company's history, allowing us to be highly selective with an eye to deploying capital in excess of 100 basis points to our weighted average cost. The team's leadership in sourcing, underwriting, and executing accretive opportunities has been exceptional. The work they are doing today will support growth well into the next decade. We are gently focused on improving our cost of capital. While we believe we will unlock further opportunities in our acquisition and development pipeline, one of the ways we seek to improve our cost of capital, both debt and equity, is leverage optimization. While Easterly's portfolio of long-term high-credit leases is capable of sustaining higher leverage levels than other REIT peers, we recognize that comparability with that broader REIT universe matters. To that effect, we are targeting a medium-term cash leverage goal of six times. This is a decline to our historical cash leverage results, which have been seven to eight times. This shift to a more conventional leverage target enhances investor comparability, and together with improved funding access, sets Easterly on a clear path towards structurally lower capital costs. We believe we can deliver this expectation while also meeting our attractive growth objectives. As Allison will detail, we have already made progress on this front this quarter. As we close the third quarter, I want to recognize the collective effort of everyone at Easterly. We are thankful for the trust and partnership of our tenants, our employees, and our shareholders, and we are confident in our strategy. Encouraged by the progress we have made, and energized by the opportunities ahead. As we enter 2025, our priorities remain very clear. Continue executing on our development and acquisition pipeline, advance our cost of capital and leverage initiatives, and deepen our relationships across the federal, state, and local agencies we serve. Easterly's mission remains simple: to deliver essential real estate that keeps government moving and our nation secure. And with that, I will turn our call over to Allison Marino, our Chief Financial Officer.
Allison E. Marino: Thanks, Daryl, and good morning again, everyone. I am pleased to report the financial results for the third quarter. Both on a fully diluted basis, net income per share was $0.03 and core FFO per share grew $0.76, slightly above expectations. Our cash available for distribution was $29.3 million, reflecting steady operational performance. During the quarter, we successfully extended the lease at USCIS Lincoln and executed a long-term renewal at VA Golden. We continue to make progress in the remainder of our 2025 and 2026 renewals. And more broadly, we continue to find the to be an especially constructive partner, and the concerns relating to Doge and our mission-critical portfolio, overblown. Our development pipeline is making exciting progress. In August, we broke ground on the previously announced State Crime Lab in Fort Myers, Florida. And we are on track for our fourth quarter 2026 delivery. As a reminder, our growth in commission-critical state leases not only diversifies our portfolio but also increases our weighted average lease term. While U.S. Government leases are limited to twenty years, state governments can lease for as long as forty years, attractively increasing our WALT to strong credit tenancy. Our largest development project in the company's history, FDA Atlanta, is nearing the finish line, and we expect the government to the premises and the lease to commence in December. Notably, at FDA Atlanta, we received a third progress payment on the lump sum reimbursement during the quarter. The receipt of $102 million meaningfully reduced cash leverage from 7.9 times to 7.6 for the quarter. We expect that cash leverage will further improve upon the project's completion to below 7.5 times. Echoing Daryl's comments, this is an important step in reducing cash leverage and furtherance of our medium-term leverage goals. On the debt capital front, Easterly continues to be a creditworthy borrower. Reflected in our successful recast and upsize of our 2018 senior unsecured term loan from $174.5 million to $200 million, as well as the new accordion feature added to that loan. Further, in October, KBRA reaffirmed our investment-grade rating with a stable outlook. We also continue to work towards receiving additional investment-grade ratings, which we believe will position us to healthily tap the public bond markets. Securing access to debt capital at attractive levels allows us to unlock pipeline value in the medium term. Turning to guidance. We are narrowing our full-year core FFO per share guidance range for 2025 to $2.98 to $3.2 on a fully diluted basis. This range is consistent with our stated goal of 2% to 3% annual core FFO growth, and at its midpoint, reflects strong 3% growth over 2024. For 2026, we are issuing full-year core FFO per share guidance in a range of $3.05 to $3.12. This guidance range implies a growth rate in our stated 2% to 3% range. Supported by the delivery of FDA Atlanta, successes of 2025 renewal execution sustained operational efficiencies, and continued expansion of the portfolio through acquisitions. At the midpoint, this guidance assumes that we will have $50 million to $100 million of gross development-related investment during the year and $50 million in wholly owned acquisitions. We can see ourselves achieving the upper end of this range and executing on $400 million of acquisitions, given our $1.5 billion pipeline and the spread we can create to our cost of capital. We remain focused and disciplined in capital management, tenant retention, and execution across our development pipeline. These fundamentals underpin Easterly's ability to generate stable, growing cash flows, and long-term shareholder value. Thank you for your time this morning. Appreciate your partnership. And look forward to updating you on our progress. With that, I will now turn the call back to Shannon.
Operator: Thank you. As a reminder to the analyst, to ask a question, you will need to press 11 on your telephone. Please standby while we compile the Q and A roster. Our first question is from Seth Bergey with Citi. Please proceed with your question.
Seth Eugene Bergey: Hey. Thanks for taking my question. I just wanted to ask about the FLACSAF warehouse completion. It looks like the date got pushed out two quarters. Just can you talk a little bit about what's happening there?
Allison E. Marino: Yep. So the government continues to work through the design of that courthouse. They are balancing three or four agencies in the building that collaborate on the space design. And we are expecting that they will finalize the lump sum and the TI project in total, in 2026, which would then naturally push the ultimate delivery. But that is not unexpected, and we think the new date is certainly achievable.
Seth Eugene Bergey: Great. Thanks. And then just a second one. You know, I think on you know, you kinda target 100 to 150 basis points of spread. On development over your cost of capital But issue we equity kind of below consent at least consensus NAV. You just talk about your overall thoughts on capital allocation, and, you know, have you considered other sources of funding for development?
Darrell William Crate: Yeah. I mean, I think broadly, we there's two ways we sort of think about cost of equity. I mean, broadly, there's think about it as FFO cost of equity. Essentially, estimate next year divided by the share price. And and we look at our debt cost in a sort of 5% to 6% range. All of that gets you to a cost of a weighted average cost of capital while we delever and do all those good things. Of, you know, in the high nines. When we also just think about our cost of equity relative to peers, and, you know, real estate risk. You look at you know, our dividend plus growth, or there's a, you know, whole set of other ways you know, to to think about it. But those vector into a cost of equity that's somewhere between 8% and 8.5%. So we believe that we can be developing at a 100 basis points you know, to the upper end to that FFO range. And we're able to do that just because we've learned how to do this very well, specifically with the agencies, you know, that that that we're close to. But we also it it's not lost on us that that we believe that that's adding considerable real value you know, to the to to the overall enterprise and the long-term value of the portfolio. That further said, you know, we have, some strong relationships with, you know, large sovereign wealth fund and, and some other partners. They value this long walled in a significant way. And, add values that are sort of well below all the you know, NAV kinds of conversation. So there, you know, that's also that could end up being a a more attractive way to go, you know, while we're in this interim period. Where the stock price, you know, starts to, you know, become more comparable to office and at least peers. Which would materially reduce our cost of capital and get us you know, sort of, again, get us closer to on an FFO basis. Or FFO cost of equity quite similar to the cost of equity, you know, that we that we look at with the sort of more simple metrics, you know, of of dividend plus growth.
Seth Eugene Bergey: Great. Thanks.
Operator: Thank you. Our next question comes from the line of Michael Lewis with Truist Securities. Please proceed with your question.
Michael Lewis: Great. Thank you. My first question, wanted to ask about the $50 million acquisition guidance for 2026. I think that's a little lower than you've typically done in the past. I'm guessing that's not a reflection of the the opportunity set, the investment opportunity set. Is it more constrained by the cost of capital on what you were just talking about? Or, you know, maybe give us some background on that.
Darrell William Crate: Yeah. Mike no. That's great. Great point. I mean, the I I think given our cost of capital and, you know, what we we've heard you know, is, hey, there's, there's might be some challenges with your cost of capital. How are you ever gonna get acquisitions done? You know, we are, we are hoping for some mean reversion. As we continue to deliver consistently on this, you know, 2% to 3%, you know, I said this last year, we're delivering 3% growth. We're gonna you know, we're looking to next year. And again, we're gonna be squarely in that two to 3% range possibly with some upside. So as folks tune into that message and we get away from the dividend cut and the reverse split and those other things that where people wonder if Doge or the headline risk is gonna get in our way. You know, we imagine we're gonna get that kind of mean reversion. That all said, as we as we move forward, the range that we have for next year really only requires us to get $50 million done. So we're trying to send a message which is we are right on track for the growth that people want. While doing something that's well below what we've done before. I mean, even with our cost of capital this year, which we did a very nice job, finding some terrific buildings like York and and others, we were able to deliver know, what's been almost $200 million of acquisitions with a cost of capital that stinks, quite frankly. And, and we, and we can continue to deliver growth So I think we've set a pretty low expectation. We don't want folks think that we're not gonna make the two to 3% growth because cost of capital could get in our way. And and I would say, you know, with $50 million of acquisitions in the strength of the pipeline that is $1.5 billion, if our acquisition team hasn't already identified that $50 million that gets us to the right place, I would be very, very, very, very surprised. So, so it's meant to be a low bar. It's meant, for people to accept the, the guidance that we're putting forward and we're very excited to continue to deliver on that in 2026.
Michael Lewis: K. Great. And then, it looks like you sold the property in the third quarter. Is it possible that dispositions could become you know, part of this getting down to your your leverage target? And also related to the leverage target, what does that mean for development starts? You know, obviously, you put money out Now, it impacts your leverage. You don't get the the cash flow until later. So you know, your thoughts on those two pieces, dispositions, and and also what what that means for development?
Darrell William Crate: Sure. I I think we probably need a little kick from interest rates in order for dispositions to lead to any leverage reduction. I I think when we when we look forward to, you know, the sort of medium-term six times, Again, we step back and we looked at net lease peers. We look at office. Our job is to run a a portfolio of mission-critical assets, and we're doing that well. But it's also our job as we try to manage that portfolio in this public vehicle that we should be delivering people what they want and looking what they're paying for other other organizations. And and so as we think about as we, you know, as we as we think about what we're executing, we find ourselves in a place where we would like to get our leverage in line with those peers. And in that case, our stock should be, materially higher than it is right now. That said, we think we can continue to bring in acquisitions, move towards that move towards that lower leverage state. And and I think that as we think about development moving forward, we will try to work towards that that lower leverage. We could use some external partners and JVs in order to make that more possible. But it's we really just need to be working with with shareholders or who are supportive of the company. And be delivering on the metrics that they need to feel good about what we're doing. And using our pipeline and all the work that we've done with agencies, to deliver value for shareholders.
Michael Lewis: Okay. And then one last one for me. Just to put a bow on your comments about the government shutdown, does that lead to delays with you know, delays in leasing and and just slow things down? And is there any threat to any agencies, you think, from this process?
Darrell William Crate: In the first part, it absolutely slows things down a bit. I mean, in that in that that that folks are working less. I don't see that's any diminution value of the portfolio and there will be a click quick catch up. And I'd also say, you know, post this sort of newer environment of working with the government where they are thinking about efficiency, they are working more closely with us and other private partners order to make things work. So while the government shut, we're still doing our good work for the government and moving things along, and we're excited for them to, you know, come back online. I I don't think the shutdown threatens any any particular agency. Maybe some things get recrafted over time in the spirit of efficiency. But the big dials, as you know, are making sure entitlement programs are getting organized. Health care, you're gonna see a lot of movement on that as we as we as we you know, get into this next year. None of which has really very much to do with us. And and as we, you know, focus on mission critical, that means law enforcement. That is that is drugs, that is all the all the things that keep Americans safe. So we find our agencies today more than ever to be enthusiastic about what they're doing moving forward. And for the agencies that we work within the main, you know, they are they are showing up at work, doing their job, and feeling the support of the government and their mission.
Michael Lewis: Great. Thank you.
Operator: Thank you. Our next question is from Michael Carroll of RBC Capital Markets. Please proceed with your question.
Michael Carroll: Yes. Thanks. Daryl, can you provide some some bigger picture trends, I guess, to achieve this 6x cash flow, leverage. I know you kinda mentioned a little bit throughout this call, but is that gonna be through a more, like, joint venture sales to kinda achieve that? Or can you kind of what are some of the levers you can pull to to get to that number?
Darrell William Crate: Sure. I think I think working with joint venture partners is probably the least important, but it's it's absolutely an avenue. You know, that that that we can pursue. I think first and foremost, these development projects that we're putting in place are very attractive. We've, you know, the as we see, you know, the, the FDA Atlanta is going to be coming online at the end of the year, and that's certainly gonna to start adding to our EBITDA, and we're going get another lump sum payment. So that's gonna, you know, take us down you know, closer, you know, between seven and seven and a half times. And as we look forward to these other development projects that we're moving we will basically, you know, financially structure them so that we get to a cost to capital that is about a 100 basis points above you know, what we believe the cost of capital to be, by looking into the market and all the that we've articulated. And, and then we will, lever them less when we have return that's in excess you know, of that amount. And we believe and we do have a a very robust pipeline and our team continues to do a terrific job moving those things forward. And I think that, as as we find it, if we set our goal at a 100 basis points above above cost of capital for our projects, or we're gonna find ourselves nicely delevering over the next you know, twenty four to thirty six months.
Michael Carroll: Okay. Is that the the time frame of the medium-term goal of of to three years? I think so. Yeah. Yeah. And and again, I I don't I don't view the six as as our our number one priority is to grow two to 3% a year consistently and be known as a grower. You know, that's a that that's in that space. That said, our target is going to be six times. We're not gonna take a a direct line there, but we wanna investors to understand that that's what we're marching towards. It's a very important priority for us. And, and I I know when we sit here in you know, three to four years, we're gonna be a lot closer to six than we are today. And I think that that's gonna be comparable to you know, you're gonna look at net lease peers, and you're gonna look at office peers, and we're gonna compare very favorably, especially when you think about the strength of our tenancy credits and the wall you know, that's that's in the portfolio. And, you know, we're we certainly get that feedback from large possible, joint venture partners today. And we are hopeful that the public markets, especially as large REIT funds and others, you know, as money sort of comes back to real estate rather than being in outflows. We're we're a very we're a terrific anchor for for folks portfolios with with our sort of new you know, mission of making sure the company is growing at those levels.
Michael Carroll: And is that trend kinda reflected in your 2026 guidance kind of over equitizing some acquisitions and development expenditures?
Darrell William Crate: Yep. I mean, my expectation would be that leverage is gonna be will be lower at the '26 than it is the beginning. I think we, you know, we should have a six handle with something on the end of it. And we're gonna continue to report on our leverage in this way. As I said, it's not gonna be a straight line, but we're gonna absolutely be, you know, driving towards growing the business. You know, hitting that kind of 3% target which is at the upper end of the range. And, making sure we're getting the leverage down so that folks don't consider it a concern for the company. I mean, we've always been of the mindset especially in the private markets that these assets, you know, given the term of the lease and and given the strength of the tendency that they can handle a lot more leverage. But it's, it's also just clear to us in the public markets when you know, when we when the leadership team got together twenty four months ago and we laid out a strategy, it became clear to us that growing 3% a year is a very good target. If we're delivering two, we are right in the ZIP code of where we need to be. We think that growing same store sales and getting that to be better, you know, over the sort of the medium term is also important. So that's why we moved into a place where we have, you know, great skill, which is, you know, state, local, and government adjacency. Those are all those mission critical facilities are just like the facilities that we manage today, and we know how to do that very well. But the great news is once we finally get 30% of our portfolio to have those types of leases with bumps, we start the year with 60 basis points of growth. As opposed to zero, you know, in a flat lease environment waiting for renewals. So you know, I think with with lease renewals plus same store sales, you know, we sort of get ourselves a 100 basis points of growth, you know, as we you know, look forward over the next ten years. And then if we're rewarded and supported by shareholders, know, adding another, you know, two to 3% of growth on top of that eventually. With leverage levels that are attractive seems to be the model in this space that investors are willing to reward. And and we think we can get there and achieve it. You know, we talked to investors for a long time about covering our dividend and you know, the capital markets didn't support it. And we held on to our dividend for a little while. Knowing that our portfolio could grow into it, but our portfolio doesn't reprice fast as, you know, certainly storage or or many other areas of real estate. And we looked at ourselves and said, we're gonna gut it out for a couple years here, and we're gonna cover our dividend, and that's all gonna be good. But that's not what the capital markets want. So it's important for us to do what we do well, which is supporting these mission critical agencies. But, likewise, making sure that the metrics when somebody comes to learn about Easterly Government Properties and what we're doing, that they don't have any allergy to the stats that they're starting with. And I think the more that they take the time to then do the work and the portfolio of the business and what we're trying to do and our years of expertise expertise doing this, that they'll, they'll be pretty pleased for it to be part of their portfolio over the longer term.
Michael Carroll: K. Great. I appreciate it, Daryl.
Darrell William Crate: Yeah. No. I appreciate the question.
Operator: Thank you. Our next question is from Merrill Raw with Camp Compass Point Research and Trading. Please proceed with your question.
Merrill Raw: Morning. I wanted to ask a few questions about your and then I had a separate question about mix. Remind us what the total investment was for York, but the cap rate is going in, and and maybe a little bit about York's history of government contracts and renewals, just to get a sense of the, ongoing nature of their their contracts with the federal government. And you know, how this property is essential to their mission as know, as you often described your federal portfolio being.
Allison E. Marino: Sure. So the acquisition price on that asset was $29 million, and the cap rate was in the low elevens. That definitely reflects the fundamentals of the overall Denver market and a motivated seller. So that's what I would share in terms of cap rate compared to some of our others. In terms of the building itself, so this functions as their company headquarters. It's kind of a fascinating building. They have a clean room in the First Floor where they construct satellites and other items for their government contracts. So it's it's unique. Right? When you think about the work that goes into fulfilling a government contract, this is very practical, but also very strategic for them. Their partnership with the US government goes back years. They are a very trusted partner in terms of their overall contract base. The work that they do in the aeronautics and defense industry is is very integral to their overall business success, and I think they have been quite successful. Over the years.
Darrell William Crate: And, you know, we we try to spend yeah. And, Mara, we spend a bunch of time with you know, management and other folks. The talent base that supports their business in and around, you know, the Colorado area is is profound, deep, and enduring. So the the ability for them to move is difficult. They love the building, and I think we're we're excited about the lease that we have in place. And I think we're even more excited for renewal. When that time comes. Far in the future.
Merrill Raw: I would just observe that in your supplement you know, you say that 88% of your lease income is from the federal government, and then then then they're not getting the rest is 12%. And I'm just curious how in trying to meet your 3% goal and your leverage goal, of what you see that mix moving toward. You know, maybe in a longer term than the next six months. But, you know, where are you going with that?
Allison E. Marino: Sure. So we have a a goal of 70% GSA or federal exposure 15% state and local, and another 15% in non-adjacent space. So we're definitely on the lookout for sourcing opportunities where we can continue to grow the state and local and adjacent exposure in the portfolio while still being able to acquire high credit mission critical US government properties as well. So I think this year was very demonstrative. Of how we're going to achieve that. So you saw us acquire DC Plaza, and an adjacent building with the Shorks Bay Systems, but you've also we've also acquired DHS Burlington, which is the government asset as well. So it's a good example of how we'll continue to do all of it. But the state and local and adjacent space is certainly an area where we can create more growth because of these escalators that that Daryl's talking about.
Merrill Raw: Right. Thank you. Do you see as a result, Dodge, the GSA considering other forms of leases other than their standard contract?
Allison E. Marino: I think the GSA is is willing to entertain discussions around a more modern lease structure, ask is a very good example of that. So in our most recent short-term renewal at USFS in Albuquerque, We were successful in embedding lease escalators into that renewal. So for us, I think that's a really good example of where we the GSA is evolving expands, that is an area that we believe that they'll become more competitive.
Merrill Raw: That's it for me. Thank you.
Allison E. Marino: Thanks, Darrell.
Operator: Our next question is from John Kim of BMO Capital Markets. Please proceed with your question.
John Kim: Thank you. Daryl, in early last year, you provided a new strategy at your analyst day. You talked about delivering 4% growth in earnings consistently. And with that came some higher leverage, which I think made sense given the high credit nature of of your tenancy. Today, it seems like you're focusing going back to the two three two to 3% growth with lower leverage. What's changed in the last few months and and why the change in strategy?
Darrell William Crate: Yeah. So so I think we've never set 4% as the as the the the promise and target, but we're certainly that's our stretch goal. I mean, you know, our job, you know, is to set some expectations and obviously, you know, work on exceeding them. So, you know, that you know, we're we've always stated sort of two to 3% is the right is is a a growth rate, that should give us a cost of capital that's attractive. We hit three this year. You know, as Allison is mentioning, our guidance for next year actually has 4% of growth at the upper end of the range. I think to get there, if we are having 3 to $400 million of acquisitions, which, does not seem implausible to me. We can start getting to those 4% rates. What I just don't wanna do is, is set expectations that are too high, and then we you know, feel like we've tripled the growth rate of the company, but we're still you know, failing in the eyes of our investors. You know, today, you know, at $22, I think that you know, 3% is a very attractive alternative. I mean, our dividend plus growth is in the middle elevens. Which given the, you know, the stability of the company is really strong. So we just don't wanna be able to get out in front of ourselves. That said, as and as you know, I know you well know, if our stock was 28 to thirty two dollars, we grow a lot faster. And if our stock price was anywhere near our net lease peers, we could grow even faster still. The pipeline, you know, I I mean, I didn't say it lightly, and it's no BS, you know, in our in our script. You know, that the pipeline that our acquisitions team with the addition of, of Chris Wong and, Mike Iby, fantastic team. Developing a broad range of of of development and acquisition opportunities, mean, the idea that we can put, you know, a couple $100 million to work, I think, so effectively with a cost of equity that's high is a is a real, shout out to them. And if we had a cost of equity that was you know, more in line with, with what comps would show, I think we can start achieving growth rates, you know, that are even higher. But, so hopefully, that just gives you context. The I I feel better about the company today than I did a year ago. A year ago, I felt better about the company than I did a year before that. And so the team's terrific. The pipeline is outstanding. I think as we march towards getting an investment-grade rating, that will at some point, we will be a terrific healthy issuer of investment-grade debt, which will take our cost of capital down, you know, another you know, 50 to a 100 basis points. And, and I think that we'll be delivering an earnings you know, set of metrics to the market where investors will be pleased for this to be an anchor for their portfolio and an opportunity for compounding IRRs over over over many years.
John Kim: So so to summarize, your your line of thinking now is getting lower leverage with more moderate growth will lead to better cost of capital.
Darrell William Crate: I I I think that's right, but I I I my growth objective is really, you know, they they really are unchanging, and that I think that we are growing very nicely, but getting to lower leverage seems to be when I look at and again, we spend, you know, 90% of our time focused on, working with the US government, building our portfolio, and doing our job. You know, in in real estate world. But when you look at the comps, you have to wonder, why with our growth rate, why with our dividend, and why with our, you know, the strength of of of tenancy, you know, why is our stock at, you know, $22? It just it just doesn't make sense. And when I look at the at the comps, I think our growth rate is right in line. We're we're certainly at the upper end of office. We're a little 100 basis points below net lease peers. If we were in line with office, our stock would be 28 to $32. We were in line with net lease peers, it would be 36. And and the only thing that I can see is that our leverage level on a on a cash basis continues to be higher than the other folks. And I, you know, I can also imagine, that when we reverse split our stock and cut our dividend, those are generally not signs of of portfolio health, but what became clear is that the capital markets weren't supporting you know, that our portfolio could grow into our dividend. So it was time to husband, you know, resources, where, you know, that obviously, it's a lot easier to manage the growth in the company with a lower dividend. And back back when we cut our dividend, we were saying 2% to 3%. I think, as I said, maybe, you know, I I know into you that you know, getting closer to 3% is a lot easier when you've, when you when you have, you know, retained earnings in the company. And and so we're in a place where where I think we're poised for significant growth and a little support from the capital markets would go an awfully long way to accelerating that growth.
John Kim: Okay. And then on your '26 guidance, it came in below consensus you've had some highly accretive acquisitions this year that we thought would boost earnings Can you talk about some of the headwinds in '26? I mean, it looks like you have some dispositions lined up just based on the impairment that you recorded this quarter, and maybe you wanna talk about the the cap rate on some of the asset sales.
Darrell William Crate: Yeah. So, I mean, we don't have any decisions, but I'll let 10% growth rate on the company. The stock price wouldn't change. Mean, I think we need to get people I I think we need to build a base of shareholders and we try to be very transparent about what we're building. And I think the cash flow stream that we're creating is one that's you know, very valuable. And the idea of putting high expectations out there that we can exceed is not gonna benefit us. So that said, I think I I think we're we're promising to shareholders something that is way more attractive than the $22 stock price. But, Allison, why don't you just talk about 26 and what we're gonna what we're gonna do?
Allison E. Marino: Sure. So at its midpoint, '26 guidance is roughly an 8¢ increase over the midpoint of '25. And if we look at how that sort of 8¢ comes to be, you're right. There is absolutely some growth from 2025 accretive that occurred. But largely, the the largest acquisition we did in 2025 was completed in very early April. So there's only about a quarter of delta, NOI delta from that particular property year over year that's going to increase 2026. So as we look to sort of that 8¢ mark, what I would share with you is that as predominantly FDA Atlanta. FDA Atlanta has been a very accretive opportunity for us to drive earnings growth So that represents a very large portion of that 8¢. We are expecting some same store growth. We typically target about up zero to 100 basis points. That's inclusive of leases renewing as well as the commencement of TI and BSAC rents throughout other already executed leases. And then that is offset by some increases in g and a. If you remember, when Bill retired, we accelerated all of the vesting of his existing awards. So this will be the first year we step into a run rate noncash comp number.
John Kim: Okay. So no dispositions as part of that guidance?
Allison E. Marino: There aren't there are no dispositions expected for 2026.
John Kim: Final question for me is Sorry for asking so many. But No. Appreciate it. You weathered a number of government shutdowns in the past. I I think you said in the prior calls, going back many years, that there was enough to pay for thirty days of of a shut government shutdown I'm wondering if that's still the case. Or do you expect to have an accounts receivable balance if this Oh, no. Yeah. You had a great question. Thank thank thanks thanks for asking.
Darrell William Crate: Because just to be super specific, I mean, all of you know, leases are funded for six months plus in the government already. And the point being, that, you know, as you're seeing, the administration and congress are moving money around to meet sets of obligations that are ongoing. In our leases, right at the bottom, it says United States Of America you know, full stop. It's not some subsidiary. It's not an agency. It's the same thing it says on your dollar bill, and it's the same thing as it says on the US treasury. If they don't send us our money, That is a default, and you will see that on the front page of every financial newspaper on the planet Earth. And I think that they're gonna find the money to continue to pay, you know, bonds t bills, and our rent. And it would be very surprising to not. And that's why, you know, I'm I I think government shutdowns are serious business, but I also call it kabuki theater. Because it is a negotiating tool that's partisan right now. And the govern you know, each each party's got a better idea on how to run the government, and fine. But they are gonna pay their bills and the, you know, the country is not gonna stop moving. So we're we're we're very sanguine about about the shutdown and and as we've also seen, we can't wait for the headline risk related to that to go away so that we can, talk about one less thing related to our strong portfolio and, you know, get on our growth path and deliver some fabulous returns to, you know, shareholders over the next five to ten years.
John Kim: That's great color. Thank you.
Darrell William Crate: Yeah. Anything else? Mean, seriously, we, like, I we'd love just love to hear the criticisms because I think that we your questions because we wanna make sure that and I really appreciate you asking all the questions. Questions, John, because we wanna be very specific with investors about what are any perceived challenges in the model. Because we we are very proud of the portfolio and we're proud of the growth that we're delivering.
Operator: Thank you. I would now like to turn the conference back to Darrell Crate, president and CEO of Easterly Government for closing remarks.
Darrell William Crate: Great. Well, thanks everybody for joining us on our third quarter conference call. We very much look forward to talking to you as the as the year ends and we begin 2026. We're and I appreciate the robust conversation. We are excited to continue to rebuild the shareholder base and again deliver growth, deliver strong dividends, and deliver an enduring All the best.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.